Operator: Good day, and welcome to the Ryerson’s Fourth Quarter 2015 Earnings Conference Call. Today’s conference is being recorded. For opening remarks and introductions, I would like to turn the call over to Ryerson’s Head of Communications, Christopher Bona. You may begin, sir.
Christopher Bona: Good morning. Thank you for joining Ryerson Holding Corporation’s fourth quarter and full year 2015 earnings call. I am here this morning with Eddie Lehner, Ryerson’s President and Chief Executive Officer; and our Chief Financial Officer, Erich Schnaufer. Kevin Richardson and Mike Burbach, our two Regional Presidents in charge of North American Operations will be joining us for Q&A. Before we get started, let me remind you that certain comments we make on this call contain forward-looking statements within the meaning of the federal securities laws. These forward-looking statements involve a number of risks and uncertainties that could cause actual results to differ materially from those suggested by the forward-looking statements. Such risks and uncertainties include, but are not limited to, the volatility in metals demand and prices and cyclicality of the various industries that we serve. Forward-looking statements provide our current expectations or forecast of future events. You are cautioned not to place undue reliance on these forward-looking statements, which speaks only as of the date they are made and are not guarantees of future performance. Important factors which may cause results to differ from expectations are included under Risk Factors in our annual report on Form 10-K for the year ended December 31, 2015, which was filed yesterday. In addition, our remarks today refer to several non-GAAP financial measures, which exclude LIFO and certain other expenses. These non-GAAP measures are intended to supplement, but not substitute, for the most directly comparable GAAP measures. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures is provided in our 2015 earnings release filed on Form 8-K yesterday, which is available on the Investor Relations section of our Web site. With that in mind, I'll turn the call over to Eddie.
Edward J. Lehner: Thank you, Chris, and good morning. Fourth quarter of 2015 in particular will long be remembered as one of the more challenging years the global and North American metals market has faced. With industry shipments contracting by 80% for the year and 11% in the fourth quarter, and with underlying commodity prices lower on average for aluminum, nickel and hot-rolled carbon sheet by 31%, 45% and 42%, respectively, industry average selling prices for Ryerson and its public company peers fell on average by 8% during 2015 and 17% during the fourth quarter. In this environment, it was vital that Ryerson meet its execution objectives around the customer experience, expense management and working capital management. I want to thank my Ryerson teammates for accomplishing all three objectives and more. Ryerson’s execution was excellent across the board. In addition, Ryerson gained market share versus the MSCI in 2015. The first time the company has done that on a full year basis looking back at least six years. With respect to the customer experience at Ryerson where we continue advancing our relationship building while increasing our commercial bandwidth, Ryerson gained market share versus the industry for the full year 2015 and during the fourth quarter of 2015. On the expense front, I’m proud of Ryerson’s culture and long track record of aggressively managing expenses to align costs with market conditions. Last quarter, we announced additional initiatives to reduce expenses and generate cash. I’m pleased to say we’ve achieved our target capturing annualized expense savings in excess of 20 million. We also realized proceeds of 10 million in the fourth quarter from the sale of non-core assets and settlements. We also continued to do an excellent job managing working capital and generating strong cash flow, which enabled us to reduce our debt levels by 18% in 2015. We continue to make progress with Ryerson’s transformation illustrated through enhancing our execution speed, supply chain optimization and processing capabilities. In shorthand, Ryerson understands the keys to its business model of speed, scale, value-add, analytics, culture. Areas of opportunity remained focused on targeted end-markets, growing our sheet products franchise and increasing the value-add for our customers in fabrication and service. Regarding our ongoing efforts in increasing the value-add we provide to customers, Ryerson processes more than 75% of products sold in customer specification, and we have grown our sales mix of fabricated products from 6.7% of sales in 2010 to 10.4% of sales in 2015. We are now in a position to leverage Ryerson’s scale, integrated network to further enhance our profitability. In fact, the first time in six years, we gained market share in 2015 and that trend has continued into early 2016. Finally, through the decline in demand and collapse in metal prices, Ryerson generated positive adjusted EBITDA, excluding LIFO, every month in 2015. Regarding the macro, the weakness of the industry sector of the economy was a major headwind through 2015 as seen through plummeting commodity indexes and surplus metals production capacities. The PMI index, a monthly survey of purchasing managers in the U.S., was barely above 50 through the first nine months of 2015. In the fourth quarter through early 2016, the index fell into negative territory. While demand varied by end markets, destocking in the industry persisted through the year. As I previously mentioned, service center industry ton shipped were down 8% in 2015. Regarding end markets, in our 2015 10-K, you will see that we have reclassified our report on the end markets that we serve to provide enhanced transparency. We’ve expanded the number of end market categories from six to eight, which provides more detail and clarity. Additionally, we’ve changed the classification so they more closely align with macro industry trends. The new categories are commercial ground transportation, metal fabrication and machine shops, industrial machinery and equipment, consumer durables, HVAC, construction equipment, food processing and agriculture equipment, as well as oil and gas. As for current trends, all of our end markets showed declines in 2015 relative to 2014. Commercial ground transportation, HVAC and construction equipment were the relatively stronger markets through the year. Oil and gas was down more than 30% in 2015 and declined from 9% of our total business in 2014 to 7% in 2015. The decline in oil and gas permeated other end markets as well through a greater extent than anticipated as the year unfolded. Oil and gas, agriculture and mining are all at or near bottoms and we do not expect these end markets to improve or decline significantly in 2016. We do expect construction machinery, HVAC, consumer durables, food processing and industrial fabrication to improve to at least the first half of 2016. With respect to pricing, pricing bottomed to levels not seen since 2002 and 2009 depending on the commodity. From year-end 2014 to year-end 2015, the industry continued under duress from plummeting commodity prices with hot-rolled pricing falling 42%, nickel down 45% and Midwest aluminum dropping 31%. The decline continued in the last three months of 2015 with hot-rolled down 21%, nickel 12% and aluminum declining 4%. Regarding trade cases, as we enter 2016 we have seen no price increases on carbon and stainless products. Looking back to TPA passage in July of 2015, through preliminary trade case rulings and passage of the ENFORCE Act, we can tie these threads together into a trapeze net of near-term price stabilization catalysts. Import volumes, which exerted significant pressure on pricing in 2015 have come down, while HRC pricing and lead times have lagged those for cold-rolled and galvanized, there are signs that HRC prices and lead times are beginning to move in an upward and outward direction. Additionally, scrap, iron ore and global steel export prices have moved higher over the past two weeks following unexpected volatility and downward pressure at the beginning of the year. Amidst the adversity of harsh macro and industry conditions, I am proud to say that throughout 2015, Ryerson made itself better and that is a tribute to every one of my Ryerson colleagues. We took care of the immediacy of the moment while building sustainable, long-term earnings leverage in the business around the culture of providing excellent customer experiences, reducing debt and expense, while gaining market share. With that, I’ll turn the call over to Erich whom, as many of you know, was named Chief Financial Officer in January and who will discuss fourth quarter highlights and full year performance.
Erich Schnaufer: Thank you and good morning. As Eddie discussed, we’ve been through one of the worst metal industry downturn in decades, and yet we have effectively managed expenses, working capital, liquidity and reduced our debt during these extreme industry conditions. We were aggressive and proactive in managing inventory with a 25% year-over-year reduction. We improved our days of supply or DOS two days to 80 days in 2015 compared with 82 days in 2014. We’ve also effectively managed credit risk with days sales outstanding unchanged from 2014 levels at 43 days. Given our strong working capital management, we were able to generate cash flows of 259 million and reduce our debt by 225 million. That brings our net debt balance under $1 billion at 969 million. That is our lowest balance since January of 2010. We have maintained solid liquidity. As of December 31, 2015, borrowings were 272 million on our primary bank revolving credit facility with additional availability of 185 million. Including our cash, marketable securities and availability from foreign sources, total liquidity was 273 million. Looking ahead to 2016, our working capital investment will depend on the market conditions. In terms of 2016 cash requirements, we see a 20 million reduction in our pension contribution and a 5 million reduction in our cash interest payment. For 2015, net sales were 3.2 billion, down 12.6% from 2014. The year-over-year decline was comprised of a 6.7% lower average selling price and a 6.3% decrease in tons shipped. Ryerson’s gross margin was 17.9% in 2015 compared to 16.4% in 2014. Excluding LIFO, gross margins were 16% compared with 17.6% in the prior year. On the expense side, we reduced warehousing, delivery, selling, general and administrative expenses by 5.4% or 25.7 million. That’s excluding 32.7 million of one-time costs associated with our initial public offering in 2014. In 2015, we recorded 20 million in impairment charges on our investments in A. M. Castle and fixed assets. These non-cash impairment charges reduced our 2015 earnings per share by $0.47. Net loss attributable to Ryerson Holding Corporation was 0.5 million or $0.02 per share compared to a loss of 25.7 million or $1.01 per share in 2014. Excluding asset impairment charges, net income was 14.3 million or $0.45 per share for 2015. For 2014, excluding the IPO-related expenses, net income was 11.6 million or $0.46 per share. Adjusted EBITDA, excluding LIFO, was 109 million for 2015 compared with 217.5 million for 2014. During the fourth quarter, our LIFO expense net was 10.8 million. That was comprised of a 28.9 million lower of cost or market charge partially offset by LIFO income of 18.1 million. The lower of cost or market charge was larger than expected as selling prices declined more than we anticipated. While we reported a net loss attributable to Ryerson Holding Corporation of 20.5 million in the fourth quarter of 2015, we continued to generate positive adjusted EBITDA excluding LIFO of 14.2 million. While we still have 19 months before our 9% senior secured notes mature in October of 2017, we continue to monitor the high yield market to find an opportune time to address our bond maturities. Now, I’ll turn the call back over to Eddie to talk about our outlook.
Edward J. Lehner: Thanks, Erich. As the industry continues making its way through a deep bottom, there are signs of stabilization in price and overall demand after a long, hard fall throughout 2015 that began moderating at still depressed levels in early 2016. While industry visibility is still challenged given volatility and a lack of medium-term transparency in prices, demand and inventories, Ryerson’s execution of its business plan through the first quarter to-date shows the company is likely trending to gain an adjusted ex-LIFO EBITDA when compared to Q1 2015 and Q4 2015 as the company notes Q1 2016 trends in the business of expanded market share, increasing gross margins, cost reduction, and strong working capital management. We expect to release our Q1 2016 results on Thursday, May 5, 2016 after the market close followed by a conference call discussing our performance at 10 AM Eastern Time on Friday, May 6, 2016. While we acknowledge the challenges posed by current industry conditions, I’ve never felt better about how we are positioned as an organization with the clarity of purpose and a share commitment to our industry vision, our customers, ourselves and our stakeholders. We bring a distinct model to the fragmented metal service center industry. We go to market as one brand, Ryerson with 90 service centers in North America. We have a local presence and coast-to-coast scale to service customers ranging from a single location machine shop to a multi-location manufacturer with complex supply chain requirements. With connectivity between our service centers, we can leverage our inventory, processing equipment and specialized knowledge and operate with greater speed and efficiency. We continue to enhance our customer service by leveraging our scale, improving our speed, optimizing our supply chain and becoming a modern data analytics driven organization. Top to bottom and side to side throughout Ryerson, our people have embraced the culture of ‘say yes and figure it out.’ This is our promise to our customers that we will always offer our customer a valuable solution regardless of whether we go inside or outside of Ryerson to get it. We’ll do that with speed, responsiveness, knowledge, warmth and professionalism. Our purpose and passion have never been greater. With that, let’s open the call to your questions.
Operator: [Operator Instructions]. We will take our first question from Paul Luther with Bank of America Merrill Lynch. Your line is open.
Paul Luther: Thanks. Hi, Eddie and Erich. Thanks for taking my questions here. I appreciate the color that you gave across the end markets that you’re looking at. I was wondering if you could also give us maybe a sense of volume trends that you’re seeing in terms of shipments so far in Q1, maybe how it’s tracking against how MSCI’s been looking?
Edward J. Lehner: Hi, Paul. Thanks for the question. I’m going to go ahead and kick it over to Kevin and Mike. I’ll just say that in general, about 50% of our revenue is tracking above Q4 levels when we look at our end markets. And I’ll go ahead and let Kevin and Mike give some additional color on that.
Kevin Richardson: Paul, this is Kevin Richardson. In terms of end market exposure what we’re seeing early in the year, anything that’s levered to the consumer or non-residential construction, we’re starting to see some improvement. So customers involved in HVAC, electrical boxes, garage doors, lighting fixtures, home appliance, food processing, we’re starting to see improvement in those end markets. What’s going the other way right now is really the commercial group transportation Class 8 and rail in particular. But to give some perspective, they’re both coming off very good years last year. So on a relative basis, we still see 2016 as pretty good but down from 2015. Oil and gas, down about 30% from last year and what we’re seeing right now is really stable but at low levels. We really don’t anticipate any meaningful recovery in the short term. And obviously it’s wildly reported every day, but we believe that oil rigs coming back online will probably be the best forward indicator. And then the other end market that I would comment on is we are starting to see some transportation work break loose here in the last 30 or 60 days. We’ve seen some nice bridge jobs and we believe that’s because of the Transportation Bill.
Paul Luther: Got it, thanks. That’s helpful. And then, Eddie, I think in your comments you were talking about signs of price stability in carbon but obviously mills have been pretty public about trying to put out carbon sheet price increases with a recent one last week. I was wondering if you can give a sense for how those are being accepted in the marketplace if you have a sense yet in terms of traction there?
Edward J. Lehner: Yes, Paul, there’s still a lot of folks that are pricing below replacement costs. They’re still pricing based on their fourth quarter inventory average cost and replacement cost at that time, but we’re starting to see signs that hot-band prices are getting pulled up closer to cold-rolled and galvan. Where you’re seeing that is even indicators it might not be obvious. Chinese steel prices are up $50. Shred was up unexpectedly in March by 20 to 25 and we’re getting more and more reports of signals that shred is starting to tighten even more. We’re hearing that lead times to our HRC are moving out to four weeks from what was really a easy two-week lead time. And as the mills start to move more of their mix to cold-rolled and coated that means that their hot-band capacity gets rationed as well even though some of the drivers for hot-band like the energy patch are still weak. But we’re going to get a lot more information on that on March 15 when we get the trade case ruling on HRC. But the signs are positive on HRC.
Paul Luther: Great, thanks. I’ll jump back in queue. Thanks, guys.
Edward J. Lehner: Thanks.
Operator: We can take our next question from Jorge Beristain with Deutsche Bank. Your line is open.
Jorge Beristain: Hi. Good morning, Eddie. I guess my question – well, two of them; one is what gives you the confidence to talk about sort of the 1Q look ahead? You did say 50% of your product is tracking better quarter-on-quarter but are there any sort of specific large projects like transportation or anything that would kind of lead you to be so bullish right now, or is it more driven on the price side of what’s happening right now with HRC and CRC?
Edward J. Lehner: Jorge, thanks for the question. I got to thank my Ryerson teammates out there. I got to tell you this is Ryerson’s self-help. We’re just doing a great job getting to more customers and getting to them in a constructive way, and I just think we’re performing better and better with each passing month. So I think this is more of a self-help exercise and being on time or early in terms of seeing recovering signs in the market and being able to capitalize on those.
Jorge Beristain: Okay. And then in terms of the current spread that we’re seeing open up between cold-rolled coil and HRC which is now tracking above its kind of historical five-year average. Can you comment a little bit about that? We obviously just recently saw the CRC cases rulings but we’re seeing a lot of kind of non-trade case impacted countries, for lack of a better word, filling the vacuum that China created by exiting the market in November. So could you just talk a little bit about are you seeing a lot more imports coming in that are essentially going to just displace what China left behind? And secondly, how sustainable do you think that CRC versus HRC gap is?
Edward J. Lehner: Yes, Jorge, I think everyone’s pretty scolded by what happened over the last couple of years, so it’s natural to kind of thing the worst of things. I would say that imports are clearly trending down. The number of offers in the market is less particularly around carbon sheet and stainless sheet. The numbers suggest that imports are trending down and if you really think about it, the first half of 2016, the die is pretty much cast. Even if you start ordering imports now assuming you can get them in the quantities that you want them, inventories are decreasing. You see more clearing of inventory that was overhung in the channel. So the first half of 2016 looks pretty well based. I don’t think anybody would say they have really transparency end of the second half of this. We see it. There’s not a lot of compelling offers to import right now. We think the numbers going to continue to trend down and we think the price environment is going to continue to strengthen as we move through the first half of the year.
Jorge Beristain: And can you speak to the CRC/HRC gap, you think that simply put, CRC got ahead of HRC just because of the brownouts of capacity in the North American market and China’s exit in the fall? And do you see – obviously HRC prices are going up but do you see that gap kind of narrowing or do you see that HRC goes up and you maintain the kind of CRC spread we’re currently seeing in the market?
Edward J. Lehner: I think the gap’s going to narrow, Jorge. I actually right now – it’s really not a long stretch at all to see HRC at 450 before too long. If you look at where shred’s headed to about 240 and you put a conversion cost on that and then you look at typical metal spreads and you look at operating profits per ton as they’ve historically been, I think you get to 450 pretty easily from where we are now.
Jorge Beristain: Okay. Thank you.
Operator: We can take our next question from Michael Gambardella with JPMorgan. Your line is open.
Michael Gambardella: Hi. Good morning. Eddie, how are you?
Edward J. Lehner: Good morning, Michael. How are you?
Michael Gambardella: Good. Just a question on the net debt side, a big reduction in net debt of 228 million, 230 million over the year, but all of that coming from working capital, primary inventory and receivables, drawdown with at least 13% decrease in sales for the company for the year. Assuming you’re right, I think you are, the market’s improving; your working capital is probably going to have to go up and the net debt. Could you comment on that?
Edward J. Lehner: Yes. Michael, let me say this. There’s an interesting thing happening right now, which is what I’ll call – which I’ll call good karma. And the good karma is I think for folks that manage their inventories well and we feel like we’re one of them. So if you look at us at 80 to 82 days, our inventories are really well positioned such that average cost is continuing to fall. So we don’t have to inject a lot of liquidity to get expanded margins and we don’t have to use a lot of liquidity to get the EBITDA that comes from that. So if you look at the reduction in our fixed cash cost commitments in 2016 versus 2015, we feel that we’re going to be in a position to build liquidity at least in the first half of the year and that’s going to give us additional optionality as we move into the back half of the year. And we think it’s also going to give us the opportunity to look at some additional delevering.
Michael Gambardella: Okay. Thanks, Eddie.
Edward J. Lehner: Thank you.
Operator: We will take our next question from Justine Fisher with Goldman Sachs. Your line is open.
Justine Fisher: Good morning.
Edward J. Lehner: Hi, Justine.
Justine Fisher: Can you talk to us about how service centers and traders trade the market ahead of trade cases? Like I guess we can understand that maybe the risk of trade cases means that guys don’t want to order tonnage that they may have to pay duties on. But do people have to put the amount of a potential duty in escrow, like what impact can the anticipation of trade cases have on the market as opposed to the actual decision around the trade case?
Edward J. Lehner: Yes. Justine, so what I tried to say in my comments is it’s not just one thing. I think you really have to look at the progression since the TPA passage, which provided for critical circumstances, look backs. Also, it changed the standard for harm in terms of how companies can – how they can allege harm with respect to dumped material or subsidized material. And so when you look at that and you look at the case rulings themselves and the magnitude certainly went up with the recent cold-rolled rulings. And then you look at the ENFORCE Act that was passed, which actually put money behind customs to go ahead and do a more diligent job in enforcing relabeling, illegal substitutions, factious value-add and things like that. So I think when you take all those things together you’re going to get a tighter enforcement regime and I think you’re going to see more folks be a lot more careful in terms of whether they ship or they try to evade those determinations. So, yes, I think it’s having an effect. I think all those things taken together are going to have a more potent effect than they have in the past and I think you’re seeing people react to that already frankly.
Justine Fisher: So the impact of the trade is also that the enforcement stepped up and so there are – even if we don’t get the final decisions that maybe as punitive as people had thought, there’s still aspects of going ahead with the trade cases that can stem imports anyway?
Edward J. Lehner: Yes. I’m of a mind where maybe a year ago I was more skeptical. I’m certainly not as skeptical now. I think the trade cases will have more of an impact than people believe, yes.
Justine Fisher: Okay. And then just going back to Mike’s question on the working capital, I mean we see especially in a quarter like the fourth quarter is that if EBITDA is lower, then the company generates a lot of cash on working capital. And this is what we’ve come to expect from the service center business model. So is it the case that for '16 we shouldn’t expect this similar use of working capital as the price environment improves as we’ve seen in the past, like has that or should that relationship not be as we’ve seen it before?
Edward J. Lehner: Justine, it’s hard to hit that moving target because it’s really more of a question of magnitude and it’s a question of magnitude in the time over which it happens. If prices spike and you really don’t have time to get price increases into the market, that’s one set of timings. But if you get gradual price increases and ultimately you get price increases into the market while your average cost inventory is going down, the working capital tends to be used in this grade. And so you do get a benefit of expanding margin and large less working capital intensity. And so the amount that you have to inject in to support that revenue growth is not as much as it would be in past cycles. So that’s some of that good karma I was talking about that if you don’t have bloated [ph] inventories and you manage your inventories well and they’re churning well, you have more optionality to take advantage of that and not have to inject as much liquidity and to build backup on the other side.
Justine Fisher: Okay. Thanks. And then the last question I have is just on the potential to sell anything in the portfolio, within mills and mining I’m talking – the metals and mining credit space you’ve seen some companies put assets up for sale and sell them, and that may be a way to aid the refinancing of the bonds. And it doesn’t seem to me that there’s anything that stands out for selling in Ryerson, but are there any assets in the portfolio that the company may be able to sell even if it’s kind of a sub-$30 million level or something like that that may be able to provide liquidity either for bond buybacks or to aid in the refinancing of the bonds?
Edward J. Lehner: Justine, look, we’ve done a good job of selling non-core assets and I think we spoke to that and we’ve done a really good job of taking costs out. Right now we’re in a good position, as I said, when I talked about the job that our folks inside of Ryerson are doing. Really every P&L we have right now is EBITDA positive, so that’s a good position to be and as we look for recovering fundamentals in the industry.
Justine Fisher: All right, super. Thanks so much.
Edward J. Lehner: Thank you.
Operator: We can take our next question from Aldo Mazzaferro with Macquarie. Your line is open.
Aldo Mazzaferro: Hi. Good morning, gentlemen. How are you?
Edward J. Lehner: Hi, Aldo. How are you?
Erich Schnaufer: Good morning, Aldo.
Aldo Mazzaferro: Good. I was wondering your comment on taking a strategy towards your bond maturities over time, I’m wondering if you can offer us a little more detail on that assuming that there is – let’s just assume for argument sake that there’s no more working capital reduction going forward in 2016. I believe that 2017 is when the maturity comes up, but any milepost along the way that you need to watch in terms of liquidity and any general strategy comments about how you might achieve that would be great?
Edward J. Lehner: Yes, thanks. We feel good about our liquidity position. So getting through the fourth quarter I think we got through the worst of it and we came through as well. But as we look at the 2017 maturities in October, let me say this. As you know, we’re a seasoned issuer and I think a lot of folks have done well on our bonds over time and I would just reference a recent data point that our bond prices on the nines are up 15 points from the last two and a half weeks. So I think as we see Q1 and Q2 cards get turned over in terms of performance and industry fundamentals, we still have a time option. However, we’re on top of all of our – we are very much on top of in terms of our thought process and our discussions as to what the options would be in market and out of market. And at the appropriate time we think we’ll have good options to address those 2017 maturities.
Aldo Mazzaferro: Okay. And then if I can ask a second question on the gross margin trend that you took a good hit in the fourth quarter but despite the fact your volume and pricing were a little less than I thought, your margins were a little higher than I thought. And I know going forward, you’re going to have I think a leveling of price. Could you see your gross margins coming back a couple 100 basis points in the near term or is that too much to hope for, do you think?
Edward J. Lehner: What I wouldn’t do is I wouldn’t speculate on the actual number from a basis point perspective and I think we indicated what we believe the trend would be, and we feel good about where we’re positioned in terms of inventory and we feel good about being able to continue the market share gains that we referenced. So again, the self-help inside Ryerson is very alive and well.
Aldo Mazzaferro: Yes, so from what you can see right now, could you say your average cost of materials versus fourth quarter and first quarter might be lower.
Edward J. Lehner: We’re definitely noting a continuing trend of our average costs and inventory continue to go down.
Aldo Mazzaferro: All right. Thanks, Eddie.
Edward J. Lehner: Thanks, Aldo.
Operator: We can take our next question from Matthew Fields with Bank of America Merrill Lynch. Your line is open.
Matthew Fields: Hi, Eddie. What’s going on?
Edward J. Lehner: Hi, Matt.
Matthew Fields: Just want to revisit imports from maybe a slightly different angle. Do you think there’s a limitation on how much trade cases can help whereby if prices rise in the U.S. to a certain degree, that’s spread between the U.S. and Europe or U.S. and China sort of widen so much that it invites more imports from a lot of the countries that are not named in these trade cases?
Edward J. Lehner: Well, Matt, here’s what I would say as I hope that everyone is going to be mindful of what happened over the last two years and by being mindful that they are going to pay attention to those spreads. What we know is when the spreads become attractive enough, eventually people find a way to fill that vacuum. Now what I will say is if you go and you add up the math on the cold-rolled rulings, those cold-rolled rulings effectively took 77% of trailing cold-rolled imports out of the market. So that’s going to take some time to fill back up again from alternative sources. And even the folks that are being fairly aggressive with cold-rolled offers that are maybe say $100 to $110 under domestic right now, they can’t get a lot of volume on the water. Even if they get it on the water, it’s still not getting here until July, August. So what I would hope is, I would hope that the domestic suppliers will be mindful of those spreads this again and it won’t get to that point where folks are really working super hard to fill that vacuum and take advantage of that spread.
Matthew Fields: How far away do you think we are from that point where that would be an attractive price for imports?
Edward J. Lehner: Look, there’s a [indiscernible] out there where there’s some folks that might want to bring in cold-rolled right now or carbon plate, but really even right now where it is, depending on where it’s being delivered to and at what price, I don’t think it’s that compelling. But if you want to get some material into Houston or into the West Coast, you may go ahead and do it.
Matthew Fields: Okay. Thanks for that. And then you mentioned earlier when you were talking about addressing bond maturities, you’re looking at solutions in market and out of market. What does out of market mean?
Edward J. Lehner: Matt, I wouldn’t speculate on that. I think if you look at recent data points for deals that have been done, they are all unique to the companies that did them but I think given your position and your background, I think you can fill in any of those blanks.
Matthew Fields: Okay, so TBD. And then lastly, just sort of – maybe it’s a bit of a high-level question but how much self-help do you think gets you across the finish line in terms of refinancing the near-term bond maturity versus outside help do you need?
Edward J. Lehner: Can you maybe pinpoint that question a little bit better?
Matthew Fields: Yes, if it’s like selling assets to pay down debt or things that you can do yourself to generate cash and aid a bond maturity refinancing or negotiations with bondholders all sort of self contained within the Ryerson complex versus I know you’re not going to comment on Platinum helping out or something external, like you know what I’m saying?
Edward J. Lehner: Yes. Matt, look, it’s a combination of both. I think the most important thing is our execution, the more valuable we become as an operating franchise. As I said, our history as a credit issuer is a good one. So as we continue to improve our performance, we like where we’re going to be when it’s time to intersect with that market and those issues. So, I think it’s a combination of both.
Matthew Fields: All right, great. Thanks a lot, Eddie. Good luck in 2016.
Edward J. Lehner: Thanks, Matt. I appreciate it. Thank you.
Erich Schnaufer: Thank you.
Operator: [Operator Instructions]. We will take our next question from Joel Tiss with BMO. Your line is open.
Joel Tiss: Hi, guys. How it’s going?
Edward J. Lehner: Hi, Joel. How you’re doing?
Joel Tiss: All right. I wonder if you could venture a range for free cash flow in 2016 or is there just too many moving parts to give us a sense?
Edward J. Lehner: Yes, there’s way too many moving parts to give you a sense of where that’s going to go. Everything is going to depend upon balancing the prices. And looking out into the last half of the year, we just don’t have visibility into that.
Joel Tiss: Okay. And then what are you guys hearing from your customers on demanding more value-added product? It seems like the competitive landscape is – it’s pretty tough for a lot of your competitors as well and I’m sure some of them have gone away or they’re pulling in their horns and there might be more opportunity for you?
Edward J. Lehner: Joel, that’s a really good story for us and I’m going to let Mike and Kevin elaborate on that, but we’re really encouraged by what we see there in terms of our capabilities and the customers that we’re approaching and the ones that are approaching us. So I’m going to let Mike and Kevin expand on that.
Mike Burbach: Hi, Joel. Mike Burbach here. Thanks for your question. As Eddie mentioned, that is a bright spot for us and if you look back over the last few years, the percentage of our sales tied into complex fabrication back in say 2010 was under 7% and this past year was almost 10.5%. So it’s a growing opportunity for us and we’ve made a number of investments to improve our offering in this space. I’d say anecdotally, there is more and more requests being sent our way to have us take a look at taking on work that maybe some large OEMs historically have wanted to do but now they’re getting out of that and spending their time maybe their core competencies, which opens up a great deal of opportunity for us. And so we’re pretty excited about it. It’s an area of strength and we see good growth coming from that going forward.
Joel Tiss: Is there any industry benchmark number on that 11%, anything for us to compare it to versus the industry standard?
Edward J. Lehner: Joel, I wish we had a referenceable number. I think what I would say is we were at the BMO conference with you last week and I think we mentioned that where we see it more is just in the type of business we’re able to handle that we’re able to really coordinate these types of complex fabrication jobs and contracts across a number of Ryerson service centers sharing inventory, sharing fixed assets in a really cooperative manner while really managing our P&Ls in a centralized fashion. So that’s the exciting part is the way that the markets, multi-markets are working together to be able to successively bid and then service this work, that’s part of why we’re so encouraged about what’s happening out there. And I think we did mention that to the group that we presented to last week.
Joel Tiss: All right. Thank you very much.
Edward J. Lehner: Thanks, Joel.
Operator: At this time, there are no additional questions. I’d like to turn the program back over to the presenters for any closing comments.
Edward J. Lehner: Thank you. Ryerson has fought its way through a harsh and ugly marketplace in 2015 but we’ve never been more energized to capitalize on our scale, integrated network in the Ryerson brand. Thank you for your interest in Ryerson and we look forward to speaking with you next quarter.
Operator: This does conclude today’s program. You may disconnect at any time.